Operator: Thank you for standing by. This is the conference operator. Welcome to the OneSpaWorld Fourth Quarter and Fiscal Year 2021 Earnings Call.  I would now like to turn the conference over to Allison Malkin of ICR. Please, go ahead.
Allison Malkin: Thank you. Good morning, and welcome to OneSpaWorld's fourth quarter and fiscal year 2021 earnings call and webcast. Before we begin, I'd like to remind you that certain statements and information made available on today's call and webcast may be deemed to constitute forward-looking statements. The COVID 19 pandemic continues to have a significant impact on our operations, cash flow and financial position. The uncertain and dynamic nature of current conditions, and its ongoing impact could materially alter our outlook. These forward-looking statements reflect our judgment and analysis only as of today, and actual results may differ materially from current expectations based on a number of factors affecting our business. Accordingly, you should not place undue reliance on these forward-looking statements. For a more thorough discussion of the risks and uncertainties associated with the forward-looking statements to be made in this conference call and webcast, we refer you to the disclaimer regarding forward-looking statements that are included in our fourth quarter and fiscal year 2021 earnings release, which was furnished to the SEC today on Form 8-K. We do not undertake any obligation to update or alter any forward-looking statements, whether as a result of new information, future events or otherwise. In addition, the company may refer to certain adjusted non-GAAP metrics on this call. Explanation of these metrics can be found in our earnings release issued earlier today. Joining me today are Leonard Fluxman, Executive Chairman and Chief Executive Officer; and Steven Lazarus, Chief Financial Officer and Chief Operating Officer. Leonard will begin with review of our fourth quarter and fiscal year 2021 performance and provide an update on our operations and our key priorities. Then Steven will provide more details on the financials and our liquidity. I'd now like to turn the call over to Leonard.
Leonard Fluxman: Thank you, Allison. Good morning and welcome to OneSpaWorld’s fourth quarter and fiscal year 2021 results conference call. We delivered a strong fourth quarter which represented an excellent finish to the year. The period was highlighted by significant acceleration in our top and bottom line trend. Total revenue for the fourth quarter nearly doubled from the third quarter and increased significantly year-over-year. Key operating metrics compared favorably to fourth quarter 2019 representing our most recent comparable period of normal operations. We had positive adjusted EBITDA for the first time since the pandemic began. And Q4 cash burn was better than our initial outlook. We attribute our strength and performance to our enhanced business model, which executed a seamless return to service even as we faced extraordinary challenges. Overall, the year was successfully executed our strategy which furthered our market leadership in the operation of health and wellness centers at sea, and a destination resorts on land. Our returned to service protocols and readiness as well as our team's flawless operating execution were further tested with the anticipated emergence of the Omicron COVID-19 variants in December, which resulted in moderation of our trend late in the fourth quarter and at the start of Q1 2022. More recently, our positive performance trajectory has resumed on the strength of our business model and staff. We expect our performance trends to accelerate throughout 2022 and generate sequential growth with our annual performance expected to deliver positive adjusted EBITDA and positive adjusted net income. I want to thank our entire team for the tireless efforts that have contributed to our improved performance. Your combined efforts led to an outstanding experience for the guests that visited our health and wellness centers as more voyages resumed, and occupancy increased at our destination resorts spas. Turning now to the highlights of the quarter. Total revenues were $85.7 million, nearly double third quarter total revenues of $43.6 million. This growth reflects contributions from health and wellness centers that reopened on 118 ships that resumed operations and the contribution from 48 destination resorts spas, adjusted EBITDA was positive $4.8 million with positive contribution from our health and wellness centers, onboard cruise ships, and in destination resort spas on land, and we ended the quarter with total liquidity of $46 million. We had many accomplishments for the quarter, most notably, our flawless return to service continued as mentioned the quarter saw us ready and train stop to re-embark on an additional 40 cruise ships. At quarter end, we had health and wellness centers on 118 ships that had resumed voyages and expect to resume services on 167 ships by the end of the second quarter, and all contracted ships by the end of the third quarter. In 2022, we anticipate operating health and wellness centers on 12 new ships, new ship builds that will be introduced into service by cruise line partners. We saw record demand by cruise ship guests for our services. While capacity on cruise ships remains below historical levels. We were very pleased to see continued high demand for our services. Key operating metrics during the quarter were up 2021 also compared favorably with our fourth quarter 2019 performance the most recent comparable period of normalized operations. For example, we continued to see record penetration rates of overall cruise ships service in our health and wellness centers. Additionally, pre-booked statistics and average guests spin handily exceeded 2019 performance. We saw growth across key operating metrics as compared to fourth quarter of 2019. The most recent quarter with operations not impacted by COVID. To this end, the quarter included double digit growth in average service spend per guest and average guests spent with revenue per stock per day up in the high single digits. Pre-booking as a percentage of service revenue was another positive story with a 300 basis points increase versus Q4 of 2019. In keeping with OneSpaWorld tradition of supporting our onboard staff, our corporate team, we introduced our traveling sales and revenue support teams commensurate with the increase in volume of ships returning to service, ensuring a flawless return to service will continue to be our top priority going forward with the team completing numerous training and service orders while onboard vessels. We had a tremendous response from prior personnel and new applicants who have been eager to come back to our health and wellness centers. At year end, we successfully placed 2,200 cruise ship personnel on vessels for actual and anticipated voyages, overcoming the challenges of the pandemic, securing visas, COVID testing and other travel restrictions. Despite these hurdles, our team members are ecstatic to be back at sea. By the end of the first quarter we expect to have 2,339 staff re-embarked on 126 vessels. As a leader in training and certification we will also please to see our London Wellness Academy reopened during the third quarter. The academy is experiencing very strong demand from applicants with nearly 300 students trained since reopening. Innovation in our service and product offering continued and we continue to expand our offering in many spot technologies with the thermage, coolsculpting, trusculpt and microneedling among other therapies and now including IV infusions. In our continued focus on providing recovery service, we began to offer high price service and retail product on board. As we look ahead, we will continue to invest in exemplary stops, constantly innovate in guest experience, service and product offerings and leverage our irreplaceable global operating infrastructure to build upon our pre-eminent position. Clearly, we believe in our unwavering strategy throughout the devastating pandemic positions, which positions us to deliver long-term revenue and earnings growth across the global expanse of operations, always seeking to enhance value for all our OneSpaWorld stakeholders. With that, I'll turn the call over to Steven who will comment on our fourth quarter and fiscal year between our results and our liquidity position. Steven?
Stephen Lazarus: Thank you, Leonard. Good morning, ladies and gentlemen. As Leonard mentioned, the fourth quarter, both sales and operating performance accelerates strongly from the third quarter, with our key operating metrics nicely ahead of Q4 2019. We are very proud of our staff and team for their commitment to OneSpaWorld and their dedication to providing service excellence is exemplary, especially given the extraordinary circumstances created by COVID-19 and its variance I will now share a few of the fourth quarter and fiscal year results. For the fourth quarter, total revenues were $85.7 million, compared to $3.8 million in the fourth quarter of 2020 and up from $43.6 million sequentially compared to the third quarter of 2021. The three months ended December 31, 2021, revenues were derived primarily from our 118 health and wellness centers onboard ships having resumed wages and our 48 open and operating destination resort health and wellness centers. Cost of service were $58.7 million, compared to $6.9 million in the 2020 fourth quarter. The increase was primarily attributable to the costs associated with increased service revenue of $66.1 million in the quarter, from our operating health and wellness centers at sea and on land and increased cost operations at our health and wellness centers at sea and on land. Cost of products were $15.5 million, compared to $6.8 million in the 2020 fourth quarter. The increase was primarily attributable to costs associated with increased product revenues of $15.8 million in the quarter from our operating health and wellness centers at sea and on land, together with a $2 million noncash inventory reserve recorded in the current quarter to reflect the write-down of inventory. The fourth quarter of 2020 also included a $4.9 million noncash inventory charge for the write-down of inventory. The write-down in both periods is a result of inventory that is expected to expire due to the extended pause of operations caused by the COVID-19 pandemic. Net loss was $10.9 million, compared to a net loss of $71.4 million in the fourth quarter of 2020. This $60.5 million improvement was primarily a result of a $21 million improvement in our loss from operations, plus the $40.3 million positive change in the fair value of warrants. The change in the fair value of the warrants is the result of changes in the market prices deriving the value of those financial instruments. Adjusted EBITA was positive $4.8 million as compared to an adjusted EBITDA loss of $15.4 million in the fourth quarter of 2020. Importantly, this represented the first quarterly period that the company recorded positive EBITDA since the onset of the COVID-19 pandemic. For the fiscal year, total revenues were $144 million, compared to $120.9 million in the 2020 fiscal year. Results in both 2021 and 2020 were substantially driven by the COVID-19 pandemic which resulted in the cancellation of all cruise ship voyages and closure of all destination resort health and wellness centers during mid-March 2020 through December 31, 2020. The 12-month ended December 31. ‘21 revenues were derived primary from the operations of a health and wellness centers onboard ships have been returned to service and our destination resort health and wellness centers having resumed operations, primarily during the last two quarters of the year. Cost of service were $108.9 million, compared to $107.3 million in the 2020 fiscal year. The increase was primarily attributable to the resumption of operations in the last two quarters of 2021 and offset by the impact of COVID 19 pandemic during 2020. Cost of products were $26.6 million compared to $32 million in the 2020 fiscal year, the decrease or improvement was attributable to a lower amount required in 2021 versus 2020 related to the decrease in the inventory write-down for the decline in the net realizable value of inventories, principally the result is mentioned of excess slow moving and expiration of inventory caused by the cessation of our cruise line operations, and consequently, our operations due to the COVID-19 pandemic and an improvement in our business mix. Net loss was $68.5 million, compared to a net loss of $288 million in the 2020 fiscal year. The decrease or improvement in the net loss principally resulted from the non-recurring $190.8 million goodwill and tradename intangible asset impairment charge, recorded in 2020 offset by the positive impact of the resumption of operations in the last two quarters of 2021. Adjusted EBITDA for the year was negative $18.9 million, as compared to an improved negative $42.7 million in the 2020 fiscal year. We ended the year with total liquidity of $45.8 million, at year end $10 million remained available under the at the market program. With projected liquidity continuing to improve, we do not intend to utilize the remainder of the ATM program. The current availability under our line of credit is $13 million. The cash burn rate for the quarter of $5.3 million was better than our expectations of $8 million to $10 million. And that was at the better end of updated guidance that we provided on January 10. We expect cash burn between $2 million and $3 million in the first quarter of the year, due to cancel voyages and lower passenger rates driven by the surge in COVID cases due to the Omicron variant. That said, we expect to achieve positive cash flow beginning in the second quarter and continuing quarterly thereafter, as well as for the full fiscal year. As it relates to our outlook for 2022. So,  uncertainties surrounding the continued impact to our business from the COVID-19, we will continue  we expect to incur, however, we expect adjusted EBITDA and positive adjusted net income for the year. And with that we will open up a call for questions, please.
Operator:  Our first question comes from Steven Wieczynski of Stifel.
Steven Wieczynski: Yes, hey, guys, good morning. So I guess, as we think about this year positive EBITDA can mean a lot of different that can obviously have a lot of different outcomes just kind of saying positive EBITDA, I understand you're not going to give real guidance at this point which is too difficult to do. But I guess maybe if you could help us think about maybe some of your high level assumptions to get you to that positive EBITDA level that might be helpful and meaning do you assume, spend levels remain status quo or maybe what type of occupancy are you assuming your cruise line partners are running through the year. I mean, anything to kind of help us kind of frame the year would be very helpful.
Stephen Lazarus: Yes, Steve, good morning. The biggest driver of the positive change in EBITDA and the delivery for the year, obviously is volume, right. So it's the ship count levels that we've referred to, we ended Q4 with 118 is a significant increase to the end of Q1 to 126. And then an even more significant increase to Q2, of 167, with all vessels sailing by the end of Q3 and ending the year on 178. So as we've seen, because of the increases in spend on board, even at below 50% occupancy levels, we've been able to generate positive EBITDA on a formal basis, and with the increased number of vessels that is now translating into generating positive EBITDA on an enterprise basis. So we don't expect full occupancies till later in the year Q3, but more than likely Q4, even without that though we do believe that we will achieve positive EBITDA starting, perhaps this quarter, but certainly next quarter and continuing for the year.
Steven Wieczynski: Okay, understood, and you're assuming from spend level perspective, I mean, I assume you haven't seen any kind of material changes in spend levels over the past couple months, and you're just kind of assuming that spend levels remain pretty much status quo through the full year.
Stephen Lazarus: We have not seen any changes, the first quarter remain strong, despite the fact that particularly in January and a little bit in the beginning of February, there was certainly some impact from Omicron with regards to occupancy levels, but the folks that were coming in with  even without that incremental spend level, we're confident that our EBITDA numbers will be positive for 2022.
Steven Wieczynski: Okay, understood, the second question current liquidity position. I mean, it seems like you guys are now in a pretty good spot, assuming your major cruise partners continue to roll out their entire fleets, which looks like they're doing a pretty good pace at this point. But I guess moving forward, as your free cash flow base starts to grow, can you maybe help us just remind us what the priorities for that cash flow generation are going to be?
Steven Wieczynski: Yes, of course. So, as we thought about it more and as we've said, in consistent with what you said in the past, we want to build a little bit of cash on the balance sheet, an alternative to doing that. And the way the path that we will go down most likely is, the first thing we will do is we will pay off the $6 million that is drawn on our revolver, because that de facto gives you that increased flexibility, if you need to re-drawn it. The second thing we will likely do is turn our attention to paying down $25 million second lien, which carries interest at LIBOR plus 7.5%. So we think that it will be good and it's certainly accretive to take that out in the mix. Thereafter and so now we're starting to look into 2023, we would revisit again, all of the things we've talked about in the past with regards to perhaps paying down some of the first lien and/or and it doesn't have to be mutually exclusive, returning cash to shareholders in the form of stock repurchases and or dividends.
Operator: Our next question comes from Sharon Zackfia of William Blair.
Sharon Zackfia: Hi, good morning. So I guess a few questions on the Omicron impact. Are you kind of back to where you were pre-Omicron? Is that kind of the positive trajectory you're referring to? And then I'm curious on the, I believe some of the cruise ships are starting to relax the mask mandates and wondering what you're doing in your spas and kind of how impactful or not that might be for your business.
Leonard Fluxman: Yes, so, Sharon, I mean, let me just – just repeat the first part of the question again, I’ll answer the second part first. The cruise lines of all three of the big brands have pretty much said we know they've all signed up for the voluntary guidance and oversight of CDC recently, so they're all on board with that. But what's interesting is from March onwards, they're going to relax wearing for the mask mandates that they had, particularly in indoor areas. It remains to be seen exactly where they might still require but at least for now, it looks like masks are going to be somewhat, if you want to wear one, wear one, if you don't want to wear one that's fine too which I think is going to allow for a guest to feel so much more relaxed in some of the indoor areas that they previously had to wear mask. So I think that's a big change in terms of the guest experience. And I think that’s certainly going to help confidence build back in the total experience of cruising as it used to be. And your first question was?
Sharon Zackfia: Yes, sure. So on the positive trajectory that you cited recently. Does that mean you're back to like, pre-Omicron trends?
Leonard Fluxman: Yes, I would look at, as I look at the fourth quarter, I mean, we were really, November was really, really a good month, going into December, we still continued to pick up speed. And then right at Christmas when Omicron kind of hit us badly. We saw fall off not necessarily in the number of people cruising because the load factors over Christmas in New York, obviously high, people have booked those cruises and went on board. But I think Christmas, they could suddenly when everybody saw how contagious Omicron was, we suddenly saw a falloff in participation on board, but then it picked up again, over New Year. So New Year was decent. Not I would say as decent as we had hoped. But it was certainly much better than Christmas. Then January, as Steven mentioned, we saw some falloff, we saw cruise lines have tremendous amount of cancellations of cruises, people deferred their cruise bookings out. But from everything that we have seen, we have certainly seen the trajectory of demand pick up again here in February. And from what I'm seeing right now, based upon all the metrics we saw yesterday, and the ending of February, we're starting to pick up steam again. So I'm very optimistic going into spring break, with mask mandates coming off, Omicron definitely falling in terms of cases, even deaths. It looks hopefully, like we're beyond this thing. And I think the confidence in guests coming on board is certainly getting back to pre- COVID levels.
Sharon Zackfia: Right, I can't wait for spring break as well. And then last question just on the 12 new ships you have coming in this year, in any kind of new innovation or design changes we should think about.
Leonard Fluxman: So we are going to definitely expand. As I mentioned, we are looking at what we can do and  of these centers where we can do extended services as well as retail, we introduced that in December and actually have pretty decent retail attachment along with those recovery services. So they have an array of different services and products that we intend to expand in 2022. We also going to have more drip lounges out there and do much more of the IV infusions, maybe immunity shots. We have a host of new innovation ideas coming through the pipeline right now that we presented to the board and were adopted in December. And we continue to work on the delivery of all of those projects. So we're very excited about not only seeing the demand for our service, continue the high level penetration continue at better than historical levels, even with the lower occupancy levels that we are seeing. The spent obviously at high single digits. I think with all the newness that we're doing some of the design features that we will introduce onto some of the ships. We're pretty excited about what the back half of 2022 starting to look like.
Operator: Our next question comes from Steph Wissink of Jefferies.
Steph Wissink: Thank you. Good morning, everyone. We just have a couple of follow up questions to the prior set of questions from the analysts, I wanted to ask a little bit about the pricing and what you're seeing kind of real time in terms of your ticket value that does seem like you'd be more comfortable cruisers are back spending a bit higher. How should we think about that as the next wave of ships comes online? Do you expect that average transaction to moderate or do you think you can maintain the elevated level of spend per passenger?
Stephen Lazarus: Yes, that's a great question, Steph. I mean, obviously we've seen great success with the rollout of our new pricing strategy and pricing architecture and moving people more out of the 50 minute slots into the 75 minute slots at higher prices while not falling off in terms of the freak and sale services that we are seeing and demand is high. I would say listen onboard spend across most of the cruise lines vanity is solid, including ours, which we certainly have reported here in our fourth quarter and continue to see now, in February, again, once we got past this sort of little blip from Omicron. So I think it's going to be very interesting to see if we can sustain it, suddenly, the demand is very strong. And people are coming in and they spending and continue to look at some of the longest services and suddenly they priced accordingly.
Steph Wissink: Okay, that's helpful. And then just on the model, the salary and payroll taxes line has been building back and I wanted to just make sure we're clear about how to model that line item, if you can give us any direction on as you staff back up as you build back your corporate structure, how we should be thinking about that as a percentage of the go forward revenue.
Stephen Lazarus: So we've been very, very disciplined with regards to bring back positions at corporate and quite frankly, with Omicron, we actually took a bit of a pause in some of our proposed hiring just to make sure and see how that actually played out. We will continue, however, have the necessity to start bringing additional folks back as new ships are introduced to service and we're trying to measure the cadence of bringing them back to try and align that with when those ships are in reintroduced into service. So you should expect to continue to see that number increase all the way through the year up until the end of the year and likely back to where we've been at before. Although we may have some productivity improvements at this point in time. I think it's the safest bet to assume we get back to the same types of headcount at the corporate level.
Steph Wissink: Okay, very helpful. I'm not sure one more out just because it's topical in the headlines. But with respect to Eastern Europe, some of the geopolitical unrest there any reason to think changes in your ability to source labor, or any of those kind of Mediterranean corridor cruises that would have been occurring, that might see some impact?
Leonard Fluxman: No, we don't expect to see any. I mean we have a lot of Ukrainians on board, maybe one or two Russians, I think most of them had left clearly before the last six days of war. We don't have that bigger contingent from that area. And certainly all the other areas that were impacted by Omicron are now opening up including Australia. So I don't foresee a shortfall if in the VC, a continuation of the war for a longer period than maybe expected. So it's not going to impact the way in which we recruit or train. I don't see any impact to our labor pool.
Stephen Lazarus: We do have two smaller. Yes, we do have two smaller land based hotels, destination spas in Russia. And those two assume will be impacted during the near term. Although they are not material, the revenue last year from both facilities was less than $150,000. So we do expect just a very minimal impact specifically as it relates to that.
Operator: Our next question comes from Assia Georgieva of Infinity Research.
Assia Georgieva: Good morning, guys. Congratulations, Leonard and Steven, on the great execution and offering such great results on EBITDA and cash flow basis. I wondered whether given the metrics you provided the penetration rate and the occupancy of the spas can compare to Q4, 2019. Given that ships were sailing in some cases, well below 50% occupancy.
Leonard Fluxman: Yes, look, Assia, thank you for your comments. We appreciate it. We really did knock it out of the park in terms of every single part of the execution. I mean, the team was fantastic. Our onboard staff are performing well and it's been difficult but, look, as I mentioned before, penetration onboard is better than it was in 2019. And so it will remained to be seen as we introduce more and more ships, if that level can continue to stay as high as it is, which is in the double digits, which is certainly improvement over the historical 11%. We do believe that with all of our initiatives that we put in place, our ability, our diagnostic tool that we're using now, to watch the first 48 hours of cruise, the last 48 to troubleshoot where we're not doing well, that we are on top of our business day to day more so than we were ever able to do so in 2019. And that's a function of all the work that we did during the COVID period, to improve our diagnostic capabilities with data, et cetera. So I have never seen a team more in charge of the data and able to impact the data, not on a historical basis, but on a prospective basis. So that's a good thing. And I think we will certainly see pre-booking continue to be a major focus of ours, we have one major brand that will come on at the beginning of the second quarter, that's going to improve our ability to pre-book and as you know, pre-booking has been put and part of guests spend, pre-booking guests spend 35% more than people only book on the first day of invocation. So all-in-all, I would say given low load factors, compared to 2019, our performance has been exemplary.
Assia Georgieva: So you've been able to capture the same, you had the same occupancies in the spa, is if the ships were full, would that be a stretch on my part?
Leonard Fluxman: That would be a big stretch. Because we haven't got the timing, these ships are still carrying less than 60% on average, and only the Christmas cruises were above  across the different banners. I do believe that now that we're getting to the tail end of Omicron, we're going to see load factors continue to improve here for spring break and into the summer. Certainly, I think Europe is looking good, despite what's going on in the Baltic, suddenly those ports that are impacted will be avoided by the cruise lines. But the rest of the mid looks to be healthy so far, as well as Alaska. So I think load factors, as Steven mentioned, will improve, certainly in the second quarter, get back to normalize levels, probably at the beginning of the fourth quarter and continue to stabilize thereafter.
Assia Georgieva: I think you're uniquely insulated from the impacts of the war. So that is helpful by having basically the cruise ships deal with this problem, as opposed to you having to work with the logistics of that. In terms of pre-bookings, I think you mentioned a 300 basis point increase. Can we compare that to what the base for that was previously?
Leonard Fluxman: Can you just repeat that? Compared to what?
Assia Georgieva: 300 basis point increase in pre-booked service. We're working off of what number if I could ask.
Leonard Fluxman: So pre-bookings were sort of high mid double digits. They now closer to 20%. So they've certainly moved up.
Assia Georgieva: Oh, so that's a very large increase.
Leonard Fluxman: And it's a very good increase, yes. There's more to be done. It's definitely an improvement. And we've been speaking about pre-booking for a long time. But I think with the adoption by a lot of the cruise lines and one more big cruise line to come on board. We're expecting to move the needle on that over time.
Assia Georgieva: And you just gave me a great segue. You mentioned that at the end of Q2, you expect a major cruise line to come on board. Would you share the name?
Leonard Fluxman: No, I expect –
Assia Georgieva: I know the answer to that.
Leonard Fluxman: No, we're not expecting new market share. We're expecting a new major brand, or should I say an existing major brand to adopt a pre-booking platform.
Assia Georgieva: Oh, I understand. And Azamara is part of the portfolio at this point. Is that a fair?
Leonard Fluxman: Correct. We have Azamara.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Fluxman for any closing remarks.
Leonard Fluxman: Thanks again, everybody for joining us today. We look forward to speaking with you when we report our first quarter results. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.